Operator: Good day and welcome to the Third Quarter 2016 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Jeff Dodge. Please go ahead, sir.
Jeff Dodge: Thanks and good morning. Welcome to today's conference call. I'm Jeff Dodge, Investor Relations. And with me today are Rick Smith, Chairman and Chief Executive Officer; and John Gamble, Chief Financial Officer. Today's call is being recorded. An archive of the recording will be available later today at www.equifax.com in the Investor Relations section under the About Equifax tab. During this call, we will be making certain forward-looking statements to help you understand Equifax and its business environment. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our businesses are set forth in our filings with the SEC including the 2015 Form 10-K and all subsequent filings. During this call, we will be referring to certain non-GAAP financial measures including adjusted EPS attributable to Equifax and adjusted EBITDA margin, which will be adjusted for certain items that affect the comparability of the underlying operational performance. For the third quarter of 2016, adjusted EPS attributable to Equifax excludes acquisition related amortization expense, as well as the transaction and integration expenses associated with our acquisition of Veda. Adjusted EBITDA margin in defined as net income attributable to Equifax adding back income tax expense, interest expense net of interest income, depreciation, amortization and the impact of certain one-time items, including the transaction and integration expenses associated with our acquisition of Veda. These non-GAAP financial measures are detailed in the reconciliation tables which are included with our earnings release and are also posted on our website. Also, please refer to our investor presentations which are posted in the Investor Relations section of our website for further details. Now, I'd like to turn it over to Rick.
Richard Smith: Thanks, Jeff, and good morning, everyone. Thanks as always for joining us. I start up with some high my level observations for the quarter for the corporation, dig in some details of business unit level. John will go through the financial details and I will come back with some closing comments before questions. Third quarter was just another outstanding broad based performance by the team just really continuous to impress me. The growth we had in the third quarter accelerated on the first half of the year that added to our strong outperformance year-to-date. Our four business units continue to execute at a very high level, driving impressive expansion in our revenue, our adjusted EBITDA margins and the bottom line results. For the quarter, total revenue was $804 million, up 20% on reported basis and up 23% on local currency basis from the third quarter of last year. Organic constant currency revenue growth accelerated from the first half coming in strongly at 13% up over last year. In the quarter, FX created a $19 year-over-year headwind. Adjusted EBITDA margin was 35.9% compared to 34.6% in the third quarter of 2015 representing a very solid year-on-year increase and well above our annual 25 basis point target increase and well above our 75 basis point expectation we have for the full year of 2016. Adjusted EPS was $1.44 of 26% for $1.14 in the third quarter last year and better than our expectations when we gave third quarter guidance back in July of this year. So let me jump into the individual BUs as always, I’ll start with USIS, they had delivered a solid 9% revenue growth, significant acceleration from the first half, driven by broad based new product revenue including trended data. We can talk more about trended data in a second and we’ll get into in Q&A as well. Our tended data now is a reality. As expected Fannie Mae launched its desktop underwriter in late September. And as we indicated during our second quarter call, billing for credit data began in August for all mortgage related enquires. Revenue for the third quarter largely came in as we had expected. We have a very good relationship with Fannie Mae and initiated discussions on trended data within nearly three year ago, we continue to see opportunities to work with Fannie and transforming the mortgage space including the announcement just this week for the launched of Fannie’s desktop underwriter validation services which incorporates verified consumer income and pilot information from workforce solutions. We believe that will be a nice catalyst for continued mortgage growth for EWS going forward. Additionally from our data and analytics team, they continue its efforts to complete a verity of analysis to access the lift from trended data for other decisioning activities. We’ll talked to you about that in the past is really getting down the granular level by vertical by sub-vertical by day unique data asset understanding with the list. And trended data provide approximately 15% list in accessing prime accounts for open a home equity loan and a 20% lift in assessing prime accounts for default risk on home equity loans. With the advent of Cambrian which we’re familiar with, we now have an analytical environment containing over 18 months or more of historical data across many of our unique data assets. Today Cambrian is a non-production environment providing unparalleled ability to deliver compelling customer insights. So today we are also building analytics and insights on trended data is 80 months or more including the credit file and other unique data assets in 2017 we’re going to move to 24 months of trended data we have for the credit file to significantly beyond to 24 months in the production environment. I think outlook bring up a whole new room of opportunities to work with our customers and solve problems and we couldn’t solve before. Sticking with USIS, on September 30, we reached a long term agreement with SBFE to become a certified vendor. We now will be able to combine our CFN commercial financial network data assets with SBFE data to deliver best-in-class solutions for small business information customers. USIS is expected to deliver revenue growth for the fourth quarter at the high end of the targeted range, which was communicated as 5% to 7%. And EBITDA margins will continue be above 50% in the fourth quarter and for the full year. International, they continue to make great progress on its most - on their most important strategic initiatives while delivering third quarter local currency revenue growth of 60%, and organic local currency revenue growth up 10%. In the quarterly, they reported adjusted EBITDA margins expendables by our 200 basis points from the year prior. The Veda integration continues to go well and remains on schedule. Some sub-hole underway, where we talked before our global platform deployment into Veda which includes close to Cambrian for Cloud platform are underway and especially be operational in mid-2017. The NPI process has been established with the local leadership team and will be incorporating the Veda NPI revenue into our vitality index beginning in 2017. We’ve also identified a number of opportunities to exports some of Veda’s products to other international geographies. Debt placement from the U.K. government is now up to 1.6 billion pounds and our performance year-to-date is exceeding the baseline performance we’ve established. We now have all six founding agencies of the U.K. government boarded and have analytical projects underway with two additional agencies. For the initiative is still old in the early status, we’re extremely pleased with both our relationship with U.K. agencies and the financial results we’re delivering. Organic revenue in international’s five largest verticals, FI, telcos, government, retail and auto and aggregate was up 13% for the quarter. International decisioning platforms, analytical services and debt management services revenue grew 19% in the quarter. These high value solutions continue to strengthen our relationships with customers and our market position. In the coming quarters, we will be installing more sophisticated technology platforms i.e. interconnect our wholesale platform and Cambrian throughout our international footprint to drive future revenue growth. Canada continued to grow very good momentum with trended data. In the third quarter, we launched Cambrian platform which will further enhance our competitive position with best-in-class solutions leveraging trended data. International is expected to deliver organic constant currency revenue growth in the fourth quarter and the full year above the upper end of its long term model of 8% to 10%. Reported revenue growth for 2016 is expected to approach 55%, adjusted EBITDA margins should increase sequentially and exit the year approaching 30%. Workforce Solutions they are strong momentum as resulted in another outstanding performance in the third quarter with 23% revenue growth and the 350 basis point expansion in the adjusted EBITDA margin. Total records in the work number database now approaches our short term goal of $300 million with over 6,600 different data contributors to that database. Our initiatives to further penetrate key verticals led a strong double digit growth in mortgage, auto, government and pre-employment enable few. Revenue from four Healthcare vertical comprised an income and employment verification for CMS and ACA analytics for employers grew over 240% in the quarter. In the quarter, Workforce Solutions completed the acquisition of Barnett/VJS, a small regional provider of employment and income verification and unemployment insurance services to further accelerate the growth of work number database. Early days that’s going very well. As I indicated earlier this week, no more color from Fannie Mae, they’ve announced the integration of our full suite of employment and income verification services into their desktop underwriting platform. Employment and income verification services includes data from the Workforce Solutions, the work number of database providing instant and waterfall employment and income verification services. With these services, unlike cycle times will be reduced and the lenders reliance on applicant providing W-2 pay steps or other income only documentation will be eliminated and this gives them protection should a mortgage now perform a protection of having the banks put the mortgages back to them. That’s a great benefit for EWS. Workforce Solutions has had an outstanding year in 2016. Both organic and reported revenue growth are expected to exceed 15% in the fourth quarter and 20% for 2016 substantially above its long term range of 9% to 11%. Adjusted EBTIDA margins are expected to be nicely over 45% for the fourth quarter of 2016 and high 40s for the full year. Global Consumer Solutions continuously to make great progress on its strategic initiatives particularly building out a strong market position in both DTC reseller and indirect markets that include partnerships with the number of very successful companies that we’ve talked about before such as Credit Karma, LifeLock, Harte-Hanks block and others. We’re pleased to announce we have executed a new longer term partnership with Credit Karma. The new and expanded partnership is focused on growing both of our businesses by leveraging unique data assets, innovation and analytics, including the use of our Cambrian platform and expanding our partnerships beyond the borders of the U.S. This quarter, we deployed our new global consumer platform called [indiscernible] a best-in-class SaaS based ecommerce platform which provides much greater marketing flexibility to serve our partners. During the quarter, we successfully transition one of our largest customers to this new platform and by the end of 2017, we will deploy this platform across all portions of our U.S. business now will be well in our way to deploying across other geographies in which we operate. Global Consumer Solutions is expected to deliver fourth quarter and full year 2016 constant currency revenue growth exceeding 15% with fourth quarter and full year adjusted EBITDA margin at approximately 30%. Few high level points at the Corp level before John gets into the financial details, things we’re talking about before those so important to our culture and our results. First is our enterprise growth initiatives which are our largest and most complex growth initiatives we have. They are performing very well in 2016 with revenue generation projected to be up over 35% from our expectations earlier this year and over three times the revenue generated from EGI in 2015. Our overall performance in new product innovations, initiatives in 2016 is also outstanding. The three year revenue from our 2016 launches is expected to be more than 170% above the expected three year revenue from our 2015 launches. This is the strongest NPI performance we had since it was built and created some ten years ago. Our vitality index that held last year and the pipeline of new products continues to be very robust. Today we launched approximately 40 new products and expect to launch another 20 products before year end. In summary, our strategic initiatives continue to perform well and are head of our expectations we have at the beginning of the year. With this continued focused on improving the process allows us to drive continues growth, I expect these initiatives will continue to drive and deliver incremental revenue growth in 2017 and beyond. So with that, John.
John Gamble: Thanks Rick and good morning, everyone. As before, I will generally be referring to the financial results from continuing operations represented on a GAAP basis. As a reminder, following to Veda acquisition, we started focusing on adjusted EBITDA margin to more consistently present the operating performance of the segments and the company as a whole. The non-GAAP reconciliation attached to our earnings release provides a more-detailed description of what is included in the adjusted EBITDA margin. Now let me turn to the business unit financial performance for the third quarter. U.S. Information Solutions revenue was $317 million, up 9% when compared to the third quarter of 2015. Online information solutions revenue was $230 million, up 7% when compared to the year ago period. Total mortgage-related revenue in USIS was up 39% in the quarter. The mortgage bankers’ application index growth accelerated significantly up 35% in the third quarter compared to the 20% growth we saw in the second quarter. Given the much stronger mortgage market performance in 3Q 2016 and continued to accommodate interest rate environment, we now expect the mortgage market to grow solidly double digit in 2016. Financial marketing services revenue was $48 million, up 3% when compared to the year ago quarter. Our commercial products, we grew 8% in 3Q. We have made great progress building the Equifax commercial financial network which includes straight line data from banking and other financial institutions similar to the SBFE as well as communications and utilities, wholesale trade, printing, publishing chemicals and allay [ph] products and rental on leasing data. When combined with Equifax consumer credit data, we can now opera substantially differentiated data analytics to our U.S. commercial customers. Identity in fraud solutions also continue to grow strongly up 19% in 3Q and 23% year-to-date. USIS direct-to-consumer revenue principally our revenue with others CRAs was down over 20% in the quarter and largely in line with the first half. The adjusted EBITDA margin for U.S. Information Solutions in 3Q ‘16 was 50.6%, up from 49.9% in the third quarter of 2015. Workforce Solutions revenue was $171 million for the quarter, up 23% when compared to the third quarter of 2015. Verification services revenue of $115 million was also up 25% and continues to be driven by strong double-digit growth across mortgage, government, auto, pre-employment. Employer Services revenue of $57 million was up 23% from last year as well. Revenue growth from unemployment insurance, I-9, tax incentives and other retail services was consistent with the annual model of mid-single-digit growth. ACA analytics revenue was up substantially in the quarter versus 3Q ‘15 driving much of the growth. As we had indicated previously, ACA analytics revenue was down sequentially and from the first half run rate. As expected, given that the ACA business is seasonal with higher revenue in the first half of the year went 1095s are delivered to employee. The Workforce Solutions adjusted EBITDA margin was 47%, up from 43.5% in 3Q ‘15 and in line with our expectations. Revenue from USIS and Workforce Solutions, our total U.S. B2B revenue was $489 million, representing organic growth of 13%. International’s revenue was $214 million, up 47% on a reported basis and over 60% on a local currency basis when compared to 3Q ‘15. Organic constant currency revenue growth was approximately 10%. By region, Europe’s revenue was $62 million, up 2% in U.S. dollars and 16% local currency. We have seen some moderate impact on local currency revenue following the Brexit vote with selected large U.K. financial institutions. Debt Management grew nicely in the quarter as our relationship with the U.K. government continues to perform as we had expected. The sharp depreciation of the British pound following the Brexit vote in late July significantly impacted U.S. dollar revenue growth in the region for the third quarter. The almost 7% decline in the British pound in early October will further impact 4Q ‘16 U.S. dollar revenue growth. Latin America’s revenue was $47 million, down 9% in U.S. dollars, but up 9% in local currency. The over 60% depreciation of the Argentinean peso from late December 2015 through March 2016 has negatively impacted the U.S. dollar performance of our largest and most profitable country in the region. Asia Pacific revenue was $74 million, which is comprised mostly of revenue from Veda. Canada revenue was $32 million, up 4% in U.S. dollars and up 3% in local currency. Canada continues to perform in line with our expectations including substantial improvements in the new product innovation initiatives which include trended data. For the third quarter, International adjusted EBITDA margin was 28.4%, up nicely from 26.2% in 3Q ‘15. On a constant currency basis, margins expanded over 300 basis points versus 3Q ‘15 and almost 50 basis point sequentially. As Rick indicated, 4Q ‘16 adjusted EBITDA margins are expected to increase sequentially and approach 30% in 4Q ‘16. Global Consumer Solutions revenue was $101 million, up 12% on a reported basis and up 14% on a local currency basis. Growth again was driven by our direct-to-consumer reseller customers. For the third quarter, the adjusted EBITDA margin was 30% in line with our expectations. The adjusted EBITDA margin was down from 3.8% in 3Q ‘15 but up significantly from a 26.4% in 2Q ‘16 when we reporting LifeLock. In the third quarter, general corporate expense was $52 million consistent with our expectations. For the fourth quarter, total general corporate expense is expected to be slightly above $55 million. The adjusted EBITDA margin was 35.9%, up a 130 basis points from 34.6% in 2015. To strengthen adjusted EBITDA margins reflects year-over-year growth in USIS, Workforce Solutions and International. We expect the course 2016 adjusted EBITDA margins to be above Q3 adjusted EBITDA margin and our full year 2016, adjusted EBITDA margin to be up more than 100 basis points from the 34.7% we achieved in 2015. As Rick mentioned before, this is nicely above the target for 2016 of a 75 basis point expansion in our adjusted EBITDA margin. Our GAAP effective tax rate for the third quarter at 29.1% was below the anticipated level of 32.5%, which we communicated during our July earnings call. The lower effective tax rate reflects several discrete or onetime items which benefited our effective tax rate by over 3% points and our adjusted EPS by above $0.05 a share. Our current expectation is that Q4 tax rate will be approximately 32.5%. Capital expenditures for the quarter were $48 million and year-to-date are $131 million. We continue to expect capital expenditures for the year to be about 6% of revenue, which is at the high-end of our long-term range as investments are made related to our integration of Veda. Year-to-date, operating cash flow remained strong at $525 million. Total debt in the quarter was $2.8 billion. We continue to reduce our leverage following a Veda acquisition which is now down at 2.58 times. Our target is to reduce leverage back to approximately 2.25 times EBITDA, which we expect to occur in 2017. Now, let me turn it back to Rick.
Richard Smith: Thanks, John. I trust you agree 2016 has been an outstanding year for the company, strong and consistent execution throughout the company has resulted in a broad base performance significantly see the expectations we had beginning of the year. We firmly believe this positions us well for growth in 2017. For fourth quarter currency exchange rates, we expect revenue to be between $797 million and $801 million reflecting constant currency revenue growth of just over 22%, partially offset by about 2% of FX headwind as reflects organic growth over 12%. Almost 7% depreciation in the U.K. pound in early October which charges John just referenced resulted in a majority of the incremental $6 million of FX headwind versus our expectations for the fourth quarter we gave guidance back in July. Adjusted EPS is expected to be between a $1.35 and a $1.38, which is up 18% to 21% for the fourth quarter excluding $0.03 per share of negative FX, which reflects constant currency adjusted EPS growth of 21% to 24%. With this out, look our second half organic constant currency growth is approximately 12% and in line with the outlook we gave in the second half revenue growth during our second quarter earnings call which we’ll recall as we guided to 11% to 13%. For the year now, we expect revenue to be approximately $3.145 billion, reflecting constant currency were our growth of approximately 21% partially offset by 3% of FX headwind adjusting for the significant depreciation in FX principal to British pound, this is the high-end of the guidance we provided in July. This is also impressive performance by the team when compared to the guidance we gave at the beginning of the year, but revenue which you real we guided more than $3 billion and $3.1 billion in revenue. Adjusted EPS for the year is expected to between $5.45 and $5.48, which is up 21% to 22% excluding approximately $0.14 per share full year negative impact from FX. This reflects constant currency adjusted EPS growth of 24% to 25. This is up significantly from the guidance we provided in July and compares favorably to the guidance we gave at the beginning of the year for adjusted EPS with we remember was $4.95 to $5.05. For the year, we now expect adjusted EBITDA margins to expand by over 100 basis points up from the previous expectations, which was 75 basis points. As we look forward, we remain confident in our ability to deliver on a long term constant currency financial model of total revenue growth of 7% to 10% per year with organic revenue growth of 6% to 8%. As we look to 2017 considering only the acquisitions closed today with sort of refresh your memory will be there in the small Barnett acquisition. We expect to achieve revenue growth at the high end of our total growth model. As this is too early to make a call on the U.S. mortgage market, this is soon to the U.S. mortgage market will be largely flat in 2017 and as always, we’ll provide you more detail on our outlook for 2017 during our February call, but this point in time with the way the team is executing on the growth initiative of EGI and NPI will remain very bullish for activities in 2017. So operator, with that John and I’d like to open up the question for our participants.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from David Togut with Evercore ISI.
David Togut: Thank you, good morning Rick, John and Jeff.
Richard Smith: Hi, David.
David Togut: Workforce Solutions continues to outperform my model both in the third quarter and indeed really year-to-date, could you comment a little bit about the hit ratio you're seeing as you approach the $300 million work number records in the U.S?
Richard Smith: Yeah, I mean just talk generically then get the specifics, you heard before we talked in the past David, the things going on by growth perspective started with slowly Dann Adams five, six years ago continuing and rolling now are just phenomenon. There are so broad based . If you think about it, the penetration which is one way to think about hit rate in each vertical continues to go up. We continue to expand in the size of the database, continue to go to analytics on the data. Their growth opportunity and you know our long term model is very bullish presumably this is low double digits. Then their specific projects going on right now and continue to find ways to build the hit rate at work number of record. So generally speaking it is long term or highest growth opportunity business we have and we remain very bullish.
David Togut: And combined with that your EBITDA margin at 47% up 350 basis points year-over-year, now actually approaching USCIS EBITDA margin, how do you think about the margin expansion opportunity of this business over the next 12 to 24 months?
Richard Smith: Yes, as we’ve talked in the past, this business - because of the great leverage we have most like the core USIS business are pockets of international, we get high incremental margin, especially in the verification side, but great things on the employer side at automation, enhance margin there. So there is no reasonable to believe that business over multiple years should not be approaching 50% plus our EBITDA margins.
John Gamble: Yes, our long term model as we gave in right is direct to the in the low 50s and we fully expected to get there.
David Togut: Got it. And then shifting gears to USCIS, mortgage continues to outperform and I thought your comment about next year and conservatively expecting flattish mortgage market. How do you think about the, what the Fed might do in the next couple months and how that might impact mortgage which has benefited from an incredibly positive environment with rates as low as they are?
Richard Smith: Yes, I expect we are financing to issue and when they do get, they are all over the board, that’s what we said in February we’ll give you better look. We have hopefully some better insight that juncture. You're saying rate is from one rate increase to two to three rate increases up to 75 basis points as well as 25 basis points next year, still historically low rates, you may see some softening in refinancing, but continues to see good strength in home equity and home sales. I think the thing we'll keep our eye on in general terms on mortgages affordability sort of pricing it is pricing go across the country and what’s affordability index work like. Beyond that there are so many great things we talk about that the team has done for, they done, I’ve spent seven, eight, nine, 10 years which is outperform whatever the index does through penetration and innovation. And we talk about obviously trended data for Fannie Mae for USIS, we talk about the use now of the verification and employment, but it’s just too small examples, but important examples of how we're trying to grow, we grow with the market does.
David Togut: Understood. And just final question on trended data, just trying to assess competitively where you stand versus your Chicago based competitor which is also been pretty aggressive here, you’re seem to have a very deep offering, they may have a little bit of a time lead, if that's an accurate perception, but it seems like you have a deeper range of services coming to market in the next 12 to 18 months?
Richard Smith: I think I was trying to find a way around the trended data, we’ve been very consistent with that. We were experience with out there first with batch trended there years ago. So clearly to you and that professional not the leaders, if you look at holistically to a batch and online, however we have moved aggressively have moved aggressively with years in all of our geographies to embrace trended data. I mentioned in my call, we have the most unique date assets, it was not just credit file, we talked that over an 18 months of trended data in Cambrian or in a local environment that's many different data assets, it’s now just to credit file. And we're moving, you’ll see this move dramatically beyond the 24 months of credit data that’s trended in a production environment in 2017 well beyond even 30 months, which I think is a benchmark out in the marketplace today. So we're not handicapped in any, in fact I think we’re leading in many senses on trended data.
David Togut: Understood. Thank you very much
Richard Smith: Thank you, David.
Operator: Our next question comes from Andrew Steinerman with JP Morgan.
Andrew Steinerman: Good morning, Rick. You mentioned 2017 are shaping up to be at the long term of a constant currency revenue growth range of 7% to 10%, I just want to check my math there that would be about two points of closed acquisition right, so we're talking 5% to 8% organic? And the second question is at that level of revenue growth where margin expansion pays above the long term range for 2017?
Richard Smith: Yes, we’re trying to say my word is there in total will be at upper end our 7% to 10%, so you can look what that means but…
Andrew Steinerman: Okay.
Richard Smith: …comfortably in the upper end of that range, so the organic growth by default as your math to two points have to be within the organic range to 16%. But we also have a very strong pipeline of other M&A things we can be doing tuck-in acquisition that makes sense to us in all of our strategic areas and geographies around the world. So we’ve been very disciplined this year with only the small acquisition of Barnett. We should expect is to be far and doing strategic M&A on top of that next year. And the margin, our target is to deliver 25 basis points per year of margin expansion over multiple years, so you should continue to expect margin expansion next year in that range.
Andrew Steinerman: Okay. Thank you.
Richard Smith: Thank you.
Operator: Our next question comes from Manav Patnaik with Barclays.
Manav Patnaik: Thank you. Good morning, gentlemen. Firstly congratulations on another broad based quarter. I'm sure we’ll keep asking you for updates in trended area and the corrections contract and so forth, but what I wanted to ask you is of these 60 new products that you’re scheduled to launch this year, as we look at into 2017 and 2018 like what are some of the other products or initiatives we should be focused on outside of just trended data and so forth. It sounded like the fraud platform you said that launch at next summer maybe one of those. I was hoping you could give us a sneak preview at other stuffs we should be looking out for ?
Richard Smith: Thanks for that, thank you Manav for your kind words. NPI is so ingrained everything we do know. When you think about we're launching 50 to 75 products a year in this case 60 products. It's different by geography. Most of our NPI as you know tend to be singles and doubles of based up analogy. Everyone saw you hit some big ones like trended data. Fraud obviously is a very important growth opportunity for us in the international environment you talked, we talked about moving we call OSTRA [ph] around the world that will be a nice contributor. Mobile we’re doing a lot now around the mobile world finding up ways to participate in the mobile environment, so that some great product launches planned later on this year and next year in mobile. 2002 is examples I can give you 100 more, but think about it, you can as you know we’re so well. It’s a lot of singles and doubles, that’s what we win in NPI.
Manav Patnaik: Okay. That’s fair enough. And then just on the Credit Karma contracts, so I think in the past you gave us your revenue contribution from them I was hoping you could do that, that it does sound like the contract is much broader than what in the past, I think you guys were giving just reports and this course. I just wanted to confirm that if I heard that right. And in terms of expanding internationally when we heard from Credit Karma, the money 2020 conference, they mentioned Canada, but it’s anything more than that you are referring to?
Richard Smith: Yes, thank you. We don’t disclose Credit Karma to tell you this, it has been great partnership, it has been a wonderful win-win partnership for two years. We’ve now sign a multi-year contract much longer term, we utilize our environment Cambrian, which is different in the past it will be focus on innovation. So building products at Cambrian in together it will focus on our unique data assets way beyond this is the credit file itself. And then as you would tune your closing thoughts here you’ll be going global as well and beyond Canada, our market discloses specific contracts, but there are some countries that they’re very interested in and that we have a good market positions, good capabilities in, good data assets in together we both grow new business opportunities for us and consumers in those geographies is a really good, was a very complicated, long process, but the two team came to a great win-win for both of us for many years to come.
Manav Patnaik: Got it. And just last question to me. When you start about this active M&A pipelines for some time now, I was hoping you could just characterize it in terms of the variance sizes of the deals you’re looking at, because I think the one that you guys have rumor to be looking at in Australia, it seems a little bigger than tuck-in that I just was curious on, if you could give any color there?
Richard Smith: Yes, I think known to three years, if you think about my revenues here with on three large deals we talks nine and half 10 years ago we did CSC, we did Veda, the vast majority of anything else we’ve done a small tuck-in to this that one, two points to go per euro is our model you should expect us to be in that range looking for small tuck-in acquisitions we’ll aligned our simple strategy, and one, two points of growth next year.
Manav Patnaik: Okay, thanks a lot guys.
Richard Smith: Thank you.
Operator: Next we have George Mihalos with Cowen.
George Mihalos: Great. Let me add my congratulations on another strong quarter guys. Wanted to start off, I’m sure you’re not going to size the impact in the quarter of the trended data mortgage contribution, but is it, is it safe to say came in somewhere ball parking in a little bit below a percentage point of overall revenue growth. And then John, your comments on the margins for USIS, being I think at least 50% for 4Q, should we not expect a little bit of a step up from the 3Q levels given a full quarter trended data and then just sort of normal seasonality?
Richard Smith: Let me jump into first part and John if you want to address margin and I’ll give you general fit on margin. It won’t go to break out trended data for as this specific line item. But do you think of this way the - as we set up guidance back in July, the second half of the year, and specifically for the third quarter the trended data contribution for USIS came in largely as expected almost no material deviation from our expectations, it was performing as expect is fairly predictable for us a model that contribution. As for as margins you’ve got and you notice be a fluctuations month-by-month, quarter-by-quarter, there are mixed changes each and every quarter. The seasonality changes mortgage is lower volume in the fourth quarter, another quarter. So we put all together and I don’t really worry about minor changes by quarter is really the multi-year trends in USIS start another very, very high margin trending.
John Gamble: And you see really nice growth in that margin obviously in the third quarter, good performance in the second quarter. So I think the margin performance is accelerating and you should expect to continue to see very good margin accretion in the fourth quarter. We gave a range of over 50%, but you’ll see very nice margin accretion of fourth quarter as well. And again consistent, the company’s delivered outstanding performance overall, as we said year-to-year, USIS as a contributor to that and we expect it to continue and we feel very confident in our long term model moving towards 40% in our long term model.
George Mihalos: Okay, great. Thanks for the color guys. And then just last question for me, as I relates to the Credit Karma expansion anything we should be mindful of from a pricing perspective as we model the consumer services, the consumer division go into 2017? Thank you.
Richard Smith: Not, I descried really is an apples and orange contract. If we think the old contract there was one geography, one basic product in this, we alluded to this now multiple geographies, multi products and renovation. So it can be a growth driver for pro forma. It can be long term growth by process well.
Operator: And next question comes from Andre Benjamin with Goldman Sachs.
Andre Benjamin: Guys, good morning. As my first question, the lenders as we listen to commentary from large banks have been largely talking a lot about prime and super prime consumers, but I was wondering as you compare the roll out deeper analytic, how much your conversation is talking about the ability to Cambrian trended data, client data to get more comfortable lending to weaker credit consumer largely because I know when you frame trended data, you also talked about the uplift to prime loans with I don’t know how but, what that’s looks like for subprime as well?
Richard Smith: Yeah. It is good question. So the answer is yes. So are and have actively engaged in leveraging our unique data assets to give the underwriters more holistic view of risk. And that could be as things like leveraging the - that the income data we have are not model but actual that income you can be using our NC plus database which gives inside to how consumers will pay off their utility obligations, may I have a score, in fact many of Latin America the credit markets, we are leveraging alternative data assets there to help bring people into the credit market. So that’s an active part of our strategy and has been for the quite some time and will be going forward.
Andre Benjamin: And more directly, is it fair to say that the uplift that you observe to analyzing some of those lower quality credits is the same or higher or lower relative to the prime bucket?
Richard Smith: It really depends on the vertical you’re looking at and geography you are looking. The work you might get in a credit card offering versus an auto loan would be difference in different parts of the country as well and will be different depending how you want segment subprime from super subprime. So then there is something they want is there’s no one generic answer to get back and promise this out of the teams the DNA teams. I mentioned in my prepared comments are deeply engaged with our customers around the world looking at ways to make this smarter underwriting decisions including subprime.
John Gamble: As far as that we launched using our alternative assets have brought a substantial number of additional consumers into the market where we can actually score them.
Richard Smith: I think I gave you too - pay too less that in my prepared comments two examples here.
Andre Benjamin: Yeah. My last would be, if I didn’t miss it, where you stand on launching some of the verification process internationally and how that investment should impact the margins over the next couple of years?
Richard Smith: Yeah, great, great, I don’t think I did, I also I did not address it in my comments, but yes, it’s going aggressively. I think all the enterprise growth initiative which are systematic way to manage complicated growth initiatives. The international word number is being managed through that initiative obviously with the team and we got a handful of countries are very, very important to us is going out as planned.
Andre Benjamin: Thank you.
Richard Smith: Thank you.
Operator: Our next is question from Ramsey [ph] with Jefferies.
Kristin Dahlberg: Hi, this is actually Kristin Dahlberg standing for Ramsey. Thanks for taking my questions. So USIS had very, very acceleration from the first half. Is your expectations still for the segment to be at the lower end of the 5% to 7% range, I mean it seems like with the new products and with such a robust mortgage market there could be some risk to the upside?
Richard Smith: That you’re referring to the fourth quarter or full year I’m not sure what you’re saying next year or what you’re referring to?
Kristin Dahlberg: For the full year I believe you prioritize had been to the lower end of the 5% to 7% range?
John Gamble: Yes, so for the fourth quarter we indicated we expected to be in the high end of the range. And for the full year it will be within the range absolutely. So, but first half starting slightly below the range, very good performance in the third quarter 9% we’re expecting high end of the range in the fourth quarters only average those out will be nicely within the range for the full year.
Kristin Dahlberg: Right. So I think last quarter you guys said that that it would be at the low end of the range, but now where just going to be somewhere inside the range is that correct?
Richard Smith: Yes.
John Gamble: Yes.
Kristin Dahlberg: Okay. And my second question is there any way to parse out how much ACA has contributed a very robust growth within Workforce Solutions?
Richard Smith: Well, I mentioned in my first comments and this has been couple of years in a row now it’s extremely broad based, I want in different verticals ACA as we called Healthcare which ACA is a part of than offering with a 240% year-on-year, it’s a good contributor, but there are so many other things going on across EWS driving growth it is far more of just ACA.
John Gamble: And we give you verifier and we giving you and indication under growth of the other portions of employer, so there’s quite a bit of information for you to do some analytics on that.
Kristin Dahlberg: And then my last question is, have you been any surprises on the data integration so far and is the expectations still for EPS accretion of $0.20?
Richard Smith: The answer to last part of the question is yes, and answer to the first part of the question is no, surprises I mean one time you buy a company you may have a surprise or never nothing material by any means. And it's going extremely well with we’ll get numbers and view the team up here right now, team is down there. So it's your cultural integration will take as always does longer than process integration the acceptance from a customers of the things we can now bring to those markets has been wrongly receive, so all in all shown very well.
Kristin Dahlberg: Great, thank you very much guys.
Richard Smith: Thank you.
Operator: Next we have Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Hi good morning.
Richard Smith: Good morning.
Toni Kaplan: You mentioned the Fanny roll out of desktop underwriter integrating the employment and income verification. So when should we expect to see an impact from that in results and how could - how should you frame the lift that we should expect from that? Thanks.
Richard Smith: That announced it I think was Monday or Tuesday of this week just takes a while to get this system - the underwriters changing behavior to do so there's a lot of opportunity for further penetration across the mortgage underwriter market. We have not financially disclosed what the lift would be for EWS, but clearly mortgage is an important part of what the banks do, mortgage is an important part of those and should be a growth driver for more I would say start in late 2016 and 2017.
Toni Kaplan: Great. And then in terms of overall margins, in the past you’ve given guidance target of about 25 basis points a year this year you'll be far above that as you mentioned in the earlier remarks and just what we've seen so far this year. Should we view 2017 as sort of a more normal year or would that still be elevated just given some of the large home run products that would still be flying through?
Richard Smith: Let’s say we’ll give you more insights to silicon margin in 2017 in February. Remember our overall goal is to get 40% EBITD margin so in the years ahead. So we’ll give you more color on saving, if I’d expect 25 basis points or so next year.
John Gamble: Again first to deliver on our long term model over the strategic period is kind of have to grow faster than that. And we're expecting - again we’re expecting good another good year next year.
Toni Kaplan: Thanks lot guys, congrats on the quarter.
Richard Smith: Thank you.
Operator: Our next question comes from Gary Bisbee with R.B.C. Capital Markets.
Gary Bisbee: Hi guys. Good morning. I guess I just wanted to ask Kathy, ask about the breadths of the various factors that are contributing to the EGI and NPI success this year. I mean obviously trended you said is sort of an outsized relative to the singles and doubles in target, but if you were to look at what you've done without trended is the momentum been in line with what it's been the last couple years, has it picked up and are there how do we think about the breadth of it? Thank you.
Richard Smith: Hey Gary the kind of data as you may recall one life in August of 2016 and if you go back. So the EGI financial benefit and the NPI financial benefit are way, way, way beyond let trying do and now recall the exact numbers, but we talked about 2014, 2015 class of products in NPI being some more stronger classes in quite some time is not ever we talked about the full class in products in 2016 and with trends with one small part of that was up and shows your revenue some 170% above 2015. We talked about EGI our enterprise growth initiatives Gary, it ups and flows in one year or maybe eight big initiatives to I think the highest number when we were saying is 12, 13, 14 initiatives and in this case trying to see there is one piece of all those - in my prepared comments I talked about that being up some 35% I think it was over our expectations at the beginning of the year. So turn the data is important there's so much more going on in this company line innovation and growth initiatives just trying to do.
John Gamble: And if you think about it every one to be used as the substantial EGI contributing, certainly you see front end in U.S. I ask you see in ACA and then other tremendous opportunities being delivered and Workforce Solutions the entire direct to consumer initiatives that you've heard about in GCS including the role out of the Renaissance’s platform which we talked this quarter is the major driver in GCS, and THE great success in their management internationally driving growth also, right. So there's one in every BU as well ongoing success in NPI beyond that which is also substantial, so it's very broad based.
Gary Bisbee: Okay great. And then just a follow-up question I given how strong and broad the result momentum has been this year are there any points this early in the process that you point out we should think about is really tough comp areas or anything for next year and I guess I trying to think about phasing of the U.K. contract to do we see Europe slow towards how you've described the longer term and in employer services is there ability maybe at least comment on those two to grow on top of such strong growth with ACA this year and anything else you can think of it?
Richard Smith: Yes, there is a fact, you could talk in the micro stuff, but we go other micro head winds next year interest rate, I think they David Togut asked about. Mortgage - you said mortgage John was up strong double digit 25% or so, 30% this year. You should not expect and I said on my comments mortgage close to that next year and file to be could number. You always have the launches and for the challenge, Tray Walker [ph] and team have on NPI you have ramp ups of products and they do so right over some period of time with the next great product again I have been there for 11 years now, so that's nothing new. So specifically one part one part of your question which is a U.K. contract you should expect that a ramp in the next year and it went live within full year this year or rather full year next year so we expect that to continue ramp next year. So that was contemplated in the framework that John I gave you we talked about guidance for next year and the long term total growth rate 7% to 10%.
John Gamble: And then we’ve talked about Workforce Solutions and personal solutions that are both growing dramatically higher than their long term model. We said overtime they'll start to move back toward their model still with outstanding growth still next year growing incredibly well, but we had indicated they will start to move back forth their model overtime.
Gary Bisbee: Great thank you.
Operator: Our next question comes from Otto Garrett with Deutsche Bank.
Otto Garrett: Thanks for taking my questions. You guys have pointed out the strength that you’ve seen within Workforce Solutions coming from your Healthcare or ACA compliance software this year, just as we think about going forward how much runway do we really have lacked as we think about 2017 are you likely to see the same kind of first half seasonality we saw this year?
Richard Smith: May go generic and specific ACS generically there’s a lot room we left in EWS to grow, there is show many levers they have to grow, ACA is one component of that. I would expect ACA had the surge of ACA in 2015 and 2016, it depends on what happens with fines into fines the intention of employers and then say renewed interest by another surge. Our expectation is ACA tends the module a bit going forward after two really good years, doesn’t mean it goes negative or there's a problem growth the same rate has grown benefit 240% in the third quarter, but think about the overall model of EWS which is strong, strong up to single to low double digit growth and actually continue for not only 2017, but well beyond that.
John Gamble: And in terms of the seasonality of ACA is the seasonal business there it's just from revenue recognition there's more revenue recognized in the first half and the second half because 1095 to deliver to employees in the first half, and of the way revenue recognition works you have to require - we have to record more of the revenue with the delivery of the product of 1095 then you do for the remainder of the year. So let’s just accounting in terms of way revenue has recognized during the year.
Otto Garrett: Great thanks. And you mentioned that now you have €1.6 billion already processed through that contract U.K. government and you're looking at on boarding two more government agencies just to happen - I came to discuss like what that's going to do the overall pipeline for the amount of debt that you’re going to be placing of the contract and where you are and what there already been scared?
Richard Smith: I alluded the fact there’s early days right now Otto, not the primary focus right now is making sure we deliver the value proposition that the government expect on that £1.6 billion and that £1.6 billion grows great and we’re saying our performance versus expectation from our prospective and our customers perspective which bodes well, but I continues that has effect because other A,B,C are doing some other data who want to break up the expectations at this juncture. We have more progress and the other agencies will be the first will you know that’s gone.
John Gamble: You do have to remember that HMRS is a contributor now and there are by far the largest sources of that, right, so, yes.
Otto Garrett: Great thanks. And lastly just looking at your comments regarding the fourth quarter, you correct me if I misheard this, but I think you said that there is a $6 million incremental revenue headwind due to the depreciation in the British pound, now is that relative to what your expectations were when you last gave guidance in July or just want to think about how to frame that $6 million relative to your 4Q guidance?
John Gamble: The $6 million FX headwinds since we gave guidance in July so versus our guidance in July.
Otto Garrett: Got it. Okay, great. Thank you. And that's all for me.
Richard Smith: Thank you.
John Gamble: And specific to the fourth quarter to be clear, the $6 million is specific to the fourth quarter not the second half.
Otto Garrett: Great.
Operator: Next we have Andrew Jeffrey with SunTrust.
Andrew Jeffrey: Hi, good morning thanks for squeezing me in your desk. Lots of good information on a call as usual Rick, wanted to ask about data just in so far as it seems year-to-date that perhaps it's outperforming the expectations you had when you been you close the transaction, will we just characterize that and then as you think about Cambrian and NPI and enterprise investments in the region next year, what’s the sort of ballpark organic revenue growth we should be thinking about for Veda?
Richard Smith: As you mentioned Cambrian largely I take holistically when as expected maybe frankly slightly better than expected, when we talk about the increased discretion [ph] as one measure of that outperformance. As I mentioned in comments OSTRO was our flat platform and Cambrian and we will rolled out sometime mid way next year. I think about that as being in multi-year kind of the benefit. Yes, it takes a lot ramp that up and gain fractions I don't see significantly changing the financial performance of Veda in 2017. Veda we talk about being organic growth within our range to 6% to 8% over multiple years, and other thing we talked about is that Veda gives us access to all new geography, we’ll look over months and years to come it using that platform to acquire other strategic assets in the region that make sense for us.
Andrew Jeffrey: Okay. And if I can dig in just a little bit more on the TVX government contract quickly, can you just talk a little bit about how much of the total debt you might be able to address over time given that some of it is in collectible?
Richard Smith: I’m not sure. Thank about that.
Andrew Jeffrey: I guess $22 billion or so. And maybe that's the wrong way to think about the TAM on that contract and if so distribution in nation?
Richard Smith: We clearly not modeled for about quite that way, yes the universe of opportunities £22 billion focused now and stuff that give us today, make sure is the right quality, right mix of that and our teams performing analytics at the right level to provide value that's to me case I'm a firm believer if you prove value to the customer in this case U.K. government they will contain to file ways to expand not only a £1.6 billion up and get other agencies to contribute as well. So all over enjoy now is making sure deliver on the promise from the government.
John Gamble: As important to remember that those agencies do collect some of the debts themselves internally.
Richard Smith: Absolutely.
John Gamble: Right, and have the right to do the within the contract. So at this point it’s unclear is to what that mix will be overtime.
Richard Smith: So when we’re saying there is other £22 billion they find a piece we think we get or analyst get add value they place that source so as we continue to add value and increase the risk on the collectability that give us more of it, don't think about doing all £20 billion.
Andrew Jeffrey: Okay, all right. Thank you.
Richard Smith: Thank you.
Operator: Next we have Bill Warmington with Wells Fargo.
Bill Warmington: Under the wire, thank you very much. Congratulations on the strong organic growth. So one question for you, on mortgage related revenue it look like it was about 18% of total revenue just wanted to confirm that first? And then I think in your comment you mentioned that you view the mortgage market, your assumption for 2017 was at the mortgage market was going to be flat. So the NBA forecast that came at on Tuesday is projecting the 2017 market down 14% on a dollar basis, so assuming price appreciation on houses of maybe 6%, I get it to around 20% down in terms of unit volumes. So I guess my question is the expectation that the higher revenue per unit on trended data and the Fannie Mae do you validation service is going to be able to and other products are going to be able to offset that expected to decline in unit volume that the rationale?
Richard Smith: Bill we don’t - the mortgage business in U.S. is important for customers and is important for us. We told you we’re in the range of 15% to 20% of revenue comes from mortgage related activities we’re clearly still in that range we expect to stay that range by the balance of the year. If you go back and look historically at the mortgage banking index and forecast versus actual it's all over the board. We take a series of economists including our own economists and analyze different trends and from that make assumptions we've build guidance for we're going to historically that was in the framework we just gave you a flat next year. We’re going to allow lot more come February. All trying to do for you as you have big more year you can make your assumption we think mortgage market is going to do. We think at this juncture a market performing someone at flat range is reasonable and we've - the market has been a long for a number of years on low side and high side lot more in February that’s a good starting point for us.
Bill Warmington: Okay fair point on the MBA forecast its’ stuff. All right, well thank you very much and again congratulations on the strong quarter. Thank you.
Richard Smith: Thank you.
Operator: Next we have Jeff Meuler with Baird.
Jeff Meuler: Hey good morning. How verifications services solutions of overtime and taken the things like more attributes collected you hit tightly on analytics maybe better leveraging the historical records, but if you could talk about innovation in that segment specifically and how much of the growth drives? Thank you.
Richard Smith: Yes, it's important. So as I think about it Jeff, its continue to - workers to database, it’s continue to penetrate more and more verticals at deeper level when we talk in the past by the automotive, car and others been good penetration to lot room to go still room to go and penetrating the mortgage market. We just talked about launching verifications business on global basis that’s early days that’s now I think pays dividends three, four, five, 10 years down the world as along from great growth level analytics will be important with this well so truly very broad based.
John Gamble: Also there’s been a lot of innovation and the way be obtain records and partners, right. So a lot of the investment has been around building our partnerships to get more records faster and also about the technology that we used to allow smaller employers to much more easily board their records aquabats [ph] so they get a benefits at a much, much lower cost.
Jeff Meuler: Okay, thank you. And then finally John, can you just comment on year-to-date free cash flow and the full year expectation?
John Gamble: Sure, so year-to-date free cash flow you think continues to be very strong, we’re expecting to a have very strong fourth quarter. So for the full year we're expecting our free cash flow to be very, very good, you continue to be good as it has been. So little below where it was last year generally because in a year we have very strong earnings like we had last year, we pay out all of our incentive compensation in the next year it tends to drive down cash flow in the year following a very strong year, and we've got a little bit weaker working capital which we're working on to recover, so we're very strong free cash down.
Jeff Meuler: Thank you.
Operator: Our next question comes from Shlomo Rosenbaum with Stifel. Please go ahead.
Shlomo Rosenbaum: Hi good morning, thank you for taking my questions. Rick, can you give a little bit more of an update on Europe, it looks to me if I normalize for the FX headwinds in the quarter on a sequential basis the European business seems flat sequentially understand that do you have good growth year-over-year. But I would have expected it that the U.K. government contract would have put in some work growth there. Can you talk about some of the dynamics that are going on because of Brexit outside of FX in Europe?
Richard Smith: Yes I have a numbers converted, maybe John does, but overall Europe continues to perform and year-on-year growth is good, and lot of things we are seeing is that the Brexit has create some uncertainty for the U.K. market and kind of a pause button if you will for some of our customers into a little slower in their activity there maybe we expected. But where that goes it's hard to say I mean it's still two year time on before the full exit. But overall you think about the U.K. you think about Spain, you think about that universe which we operate the team has continued to deliver solid growth results in a very custodies environment.
John Gamble: And the pattern of our revenue sequentially is fairly normal with what you’d normally see in Europe. Yes we’re seeing growth in the U.K. government contract, but again it’s not the largest piece of revenue we have in Europe, Europe obviously our traditional business is much larger. So we are seeing continued growth, but the pattern of revenue looks very normal for us.
Richard Smith: This is almost Spain continues to do some amazing things and deliver some great results largely by NPI.
Shlomo Rosenbaum: Okay that's a good color. And then so where we in terms of being able to use the U.K. government as a model for other countries, is there enough data that you can able to prove that you can do it or do you feel like you need maybe another year or before you can take it out to some other countries like that?
Richard Smith: Well I think, I announced last quarter, the fact that we want a significant multi-year contract that would arrive this split on this year in the U.K. in Canada. So we're - we have operations in Australia, we have operations now in Central and South America specific to the IRS equivalents around the world. We're not yet attack those opportunities, we’re attacking our traditional customer base with the analytics capability in many countries it's already revenue with force.
Shlomo Rosenbaum: So from a government standpoint that’s out there, but not as fast as it is in the commercial standpoint is that the way to think?
Richard Smith: We just stood up a global government vertical, so standing up now last in a couple months that global government vertical all of our capabilities to bear to the governments around the world that make sense including the debt management collects analytics platform of Inffinix and TDX. So it's not yet yielding revenue, because we had not yet intentionally focused on it outside the U.K.
Shlomo Rosenbaum: Okay. Understand and then question I've asked you guys before just where do you stand in terms of getting some of your existing ACA clients to contribute their income data to the talk database.
Richard Smith: Yes they done a great job, and systematically I think we talk about it in the first quarter I can’t remember when it was we talked about in technology that allows it to be easier for the ACA platform users to onboard their records to us. So that was launched sometime this year Jeff Dodge and his team member and that was roughly second quarter. That was on the second quarter of this year, so we had a technology capability and it is a contributed to date to the odd number of growth that we're seeing.
Shlomo Rosenbaum: Okay, great. Thank you.
Richard Smith: Thank you.
Operator: Next we have Tim McHugh with William Blair.
Tim McHugh: Yes, thanks. Most of my questions have been asked, but just one, maybe Latin America if I missed it, but the growth it's kind of gradually slowed a little bit the last week orders, anything happening there, I guess that explain to that and any reason to expect that well accelerate obviously on a constant currency basis?
John Gamble: Argentina is our largest country in the region, obviously Argentina’s GDP growth is negative this year. So their performance are little weaker, but now we don’t think so, we think Latin America continues to be an opportunity for us to grow.
Richard Smith: Yes, one thing that Tim, that gives me great hope to Latin America, it’s a great market forces as you know Johnson has been for years. I'm more bullish what the outlook for Argentina the government is doing locally in Argentina to fuel growth and the economist now see that that the projections for GDP growth for the outer years are stronger than a same quite some time. The projections for currency stabilization are better than that we've seen some time I guess another year, the forecasts right now we have for Argentina, John just alluded to is negative this year about a percentage, so GDP growth in the next three years the consensus forecast is between 3% and 4% GDP growth in 2017 and 2018 and 2018. So we're in a good position in Argentina, we’re leader in Argentina in all verticals, analytics as well the core credit business. So I think better days ahead in Argentina when you see that that you see an updraft in Germantown’s Latina America.
Tim McHugh: Can you give us, is there any - would you be willing to tell us roughly how much in Latin America we should think about is coming from Argentina?
Richard Smith: It's our largest operation in Latin America more than size that is rolling.
Tim McHugh: Okay, thank you.
Richard Smith: Thank you.
Operator: And our last question comes from Brett Huff with Stephens.
Brett Huff: Good morning thanks for taking my question. So just two one, first of all, you’ve already called the season in the high end of your long term revenue growth range next year, but even given that break, is there any product or segment that you feel particularly hopeful about that if there's upside to that outlook where might that come from?
Richard Smith: I don’t think there’s any one lever that on NPI EGI that gives us maybe at the business unit level. As I've said for quite some time EWS it's got the longest growth potential we have and now go through in 2017 as well. But the neat thing is the performance part as you’ve seen so broad based comes verticals countries be used EGI and products. Might there be another big EGI that comes up or another big NPI may come up, I think mobile are some really interesting opportunity for us. I think fronted data, we are just a credit file offer some opportunity for us maybe will see this underwriter that’s got rather platform that’s incorporating the use of verification and employment that might provide from upside, but it’s really is not broad based.
Brett Huff: Okay and then the second question is again all the bigger picture is you guys have done a good job of creating or buying a proprietary database is you kind of using conjunction with a credit card that differentiate your products, what is the next phase of that is there a particular database or type of data that you're looking to build or buy the next to US so the next telco credit filing anything like that?
Richard Smith: Yes we have in trade organization of the data analytics team is a strategy that's linked to each country in every vertical of the country. So we now stop people not generic answer might be in Argentina in the auto vertical is the data we want to buy a global partner with Australia might be something different there. So and that's a big core part of our strategy so we don't tend to vote on the forward looking basis which has that we want to build the right, but the one we have talking about you seen this is the work number is very strong global.
Brett Huff: Great, thanks for the time.
Richard Smith: Thank you. Jeff Dodge?
Jeff Dodge: Yes, I'd like to thank everybody for their time and their support and interest in Equifax. And with that, operator we'll terminate the call.
Operator: And that concludes our presentation. We thank you all for your participation. You may now disconnect.